Operator: Thank you for standing by and welcome to the Dassault Systemes Q1, 2007 Results Conference Call. At this time all participants are in a listen-only mode. There will be a presentation followed by question-and-answer session. (Operator Instructions). I must advice you that this conference is being recorded today, Friday the 27th of April 2007. I would now like hand the conference over to your speaker today Michele Katz. Please go ahead Ms. Katz.
Michele Katz: Thank you for joining us for over review and discussion of our financial performance and business progress for the first quarter ended March 31, 2007. On the call are Bernard Charles, President and Chief Executive Office and Thibault De Tersant, Senior EVP and CFO. In addition, to presenting our results on the U.S. GAAP, we believe that it is helpful to provide you with supplemental non-GAAP financial information. Particularly we will discuss our revenue operating income, operating margin and EPS on non-GAAP basis, before deferred revenue write-down, amortization of acquiring intangible and stock based compensation expense. The reconciliation of the difference between this figures and our U.S. GAAP data, please see the reconciliation table included on our earnings press release, which has been posted on our website at www.3ds.com. You will also find information explaining impact of currency fluctuation. Some of the comments we will make on the call either is part of the prepared remark were in response to question will contain forward-looking statement. Actual results could differ materially from those projected in these forward-looking statements. Information about the principle factor that could cause actual result to differ materially from forward-looking statement can be found in today’s earnings press release and in an item three of our Form 20-F. On our website you can also find our business and financial presentation, which was given early today in London and Paris. I would now like to turn the call over to Bernard Charles.
Bernard Charles: Thank you Michele. DS did terrific start to 2007. It is clear that the implementation of our new PLM mid-market channel, on the redesigned partnership with IBM are delivering results. We achieved an increase of 21% on non-GAAP revenue on a constant currency basis and a 15% increase on non-GAAP, EPS on solid execution across Dassault Systemes. Our PLM revenue results for the first quarter reflected a good dynamic with both large companies in the mid-market. I would like to highlight that the results of the IBM, PLM team around the world demonstrate that we are strengthening our relationship, following the launch of the new IBM/DS agreement in mid-January. ENOVIA is building business momentum therefore winning portfolio on strong first quarter results. We will soon be releasing 3D Live and innovative technology for searching, navigating, on collaborating in 3D. SolidWorks had an excellent start to this year with strong revenue on straight road. And just this morning we announced plans to acquire ICEM. ICEM the leading provider of styling high quality surface modeling on rendering solutions. We have work closely with ICEM for many years and are happy to welcome them to DS. ICEM is very complementary acquisition to our offering in the IN surfacing on styling. Finally, earlier these months, we were pleased that CIMdata confirmed that the system, the PLM market leader. In this report CIMdata calculated that our market footprint, defined us the companies direct on partner generated PLM revenues, where about €2.9 billion over €800 million more then the nearest competitor. At this time I’d like to turn the call to Thibault for detail discussion of our financial performance and objectives. And then I will return to share some observations on our business on key initiatives.
Thibault De Tersant: Thank you Bernard. As my remarks will be based up on our non-GAAP financial information, let me begin with a brief review of our GAAP and non-GAAP figures. For the first quarter non-GAAP revenue excludes deferred revenue write-down of €3.8 million, operating income, operating margin and earnings per share exclude deferred revenue write-downs and before amortization expenses or acquired intangibles of €10.9 million and stock based compensation expense of €4.3 million. In addition to these items, our earnings objective comparison is presented excluding the positive impacts of one time tax restructuring effect in the second half of 2006. The first quarter was a rewarding period with revenue, operating margin and EPS coming in further objective. First we targeted revenue of €282 million to€287 million and we deposit revenue of €294.7 million. In constant currencies revenue increased 21%. Secondly, we targeted EPS of about 31 to 32 cents and reported EPS of 39 cents. This represents growth of 15% after absorbing an estimated 9 points of negative currency impact. And finally, we targeted an approaching margin of about 18 to 19% and we reported on approaching margins of 22.1% on higher revenue. We have strong growth in both software and services, software revenue was up 21% in constant currencies and services were up 22% in constant currencies. PLM revenue increased to 23% in constant currencies. CATIA had growth in both revenues and fees. While it is still early, we are seeing good fraction into PLM mid-market, as Bernard will discuss in greater detail. SIMULIA is up to a very steady start with good business momentum in all the geographic regions. DELMIA is seeing good pick up in aerospace companies following key enhancement for this industry and in DELMIA’s latest released and SolidWorks revenue increased 16% in constant currencies on a strong 15% volume growth. Turning to our performance by region. All geographic regions contributed to the growth and revenues in the first quarter. Europe represented 42%, the Americas 33%, and Asia 25% of our total revenue. Revenue in Europe increased 10%, we are continuing to see, improving dynamics in Germany and Eastern Europe in particular. Revenue in the Americas increased 38% in constant currencies and good reserves in the SolidWorks value channel and in the P&L value channel. We continue to see a reasonable level of demand in the U.S. and good dynamic in Latin America. And in Asia revenue increased 21% in constant currency. Looking at PLM, we had good reserves in Japan and in Asia in general. This was the first quarter of operations for our new PLM value channel in Korea and it started very well. We enjoyed growth of new seats for both CATIA and SolidWorks with unit increasing 9% in the first quarter to 19,625 new seats license. CATIA licensees increased 2% in the quarter to 7,812 CATIA Version 5 end user revenue percentage was stable in constant currency. SolidWorks new seats increased 15% to 11,830 this was the single highest quarter in new seat licenses. We saw strong demand in the Americas and in Europe. SolidWorks average end-user revenue per seat decreased 3% in constant currencies in comparison to the year ago quarter. But the pricing is equivalent compare to the end of 2006 confirming our comment last quarter indicating stable pricing trends for SolidWorks during 2007. Turning to operating expenses, they were at general level compare to the 2006 fourth quarter. Year-over-year growth of about 22% excluding currency impact was in line with our average stating increase of 20%. I would also point out that G&A expenses benefited from and intellectual property claim settlement of about €2 million, which we have received and recorded as an expense offset. Turning to our business outlook, let me review our second quarter and full year objectives. As a reminder our financial objectives are presented on a non-GAAP basis. We are expecting a solid quarter as you may recall, we had a very strong second quarter in 2006 due to a large transactions that was signed earlier in the year than anticipated in aerospace. Looking at the specific second quarter objectives, they are revenue of about €298 million to €302 million representing growth of 9% to 11% in constant currencies. In the year ago period revenues totaled €286 million on a 33% growth year-over-year in constant currency. Net operating margin of about 22% lower than the year ago level of 24.5% and an EPS objective of about 38 cents to 40 cents representing 3% to 8% growth benefiting from somewhat lower tax rate compared to the year ago period. Both our operating margin and EPS objectives reflect second quarter of 2006 strong base of comparison, investment and distribution in a more difficult currency environment. With respect to the year we are raising our 2007 non-GAAP revenue growth objective in constant currencies to about 13% from the former level of 12% to 13%, to take into account about half of the order performance during the first quarter. We are updating our key currency rate assumptions given the continued strengthening coming of the Euro compared to U.S. dollar and Japanese yen. Our second quarter and second half financial objective are now based upon the U.S. Dollar exchange rate of €1.35 per Euro compared to 130 previously as well as a Japanese yen assumption of 160 Yen per Euro compares to 155 previously. This leads a to hypothesis (ph) revenue range of €1 billion to €175 million to €1 billion to €185 million. However, thanks to our first quarter order performance as well as anticipated operating leverage we are maintaining, our 2007 non-GAAP operating margin and EPS objective. Specifically, weighted operating margin objective of about 27% for 2007. Let me stop here for a movement. While this objective is stable compare to 2006 we are infant generating underlying growth in our operating margin estimated at about 100 basis points, there fore, our improvement in our business was better first quarter are enabling us to invest in developing our new PLM value channel as well as observe higher currency impact. And finally, we’re reconfirming our EPS objective of about €2 to €2.05 representing growth of 9% to 12% in comparison to 2006. Our annual shareholders' meeting has been set for June 6. The Board of Directors has recommended the declaration and payment of an annual cash dividend equivalent to €0.44 cents per share. This would represent an increase of about 5% compared to last year and twelve months of about €51 million distribution is approved by shareholders. To summarize this was a very solid quarter with good revenue and expense dynamics, broad base growth, both geographically and by businesses and reconfirmation of our 2007 outlook. Now, let me turn the call back to Bernard.
Bernard Charles: Thank you, Thibault. I would like to focus my remarks today in several key area, ENOVIA our U.S. products 3D Live, the PLM mid market and our proposed acquisition of ICEM. Our ENOVIA strategy is delivering results following our mid May 2006 acquisition of MatrixOne. Our primary focus was on driving performance improvements at MatrixOne with a significant financial turnaround, capture of synergies, unification of the team and of course a focus on a revenue growth. Now, with these critical steps accomplished, our objective is to build momentum with our new expanded ENOVIA portfolio; I am pleased to say that this is just what our team delivered during the first quarter of 2007. First we have a strong financial performance, in total first quarter ENOVIA revenue was up 139% in constant currencies. And excluding MatrixOne, ENOVIA revenue was up 29% in constant currencies Second, we are expanding our industry coverage with ENOVIA. For example, 17% of ENOVIA, MatrixOne top 20 subtract customers in this first quarter where customers in the high-tech, apparel and medical industry. And we are expanding our distribution resources as well with new partners such as the Toushiba in Japan, Walter Wilhelm Associates for the apparel on footwear industries. So we are strengthening our -- on expanding our ENOVIA offering with the upcoming new product release. This is a powerful new release frankly we think it will dramatically extend the gap between ENOVIA on legacy offerings by competitors. The new release brings enhance industry solutions for apparel compliance, medical devices, semiconductor as well as aerospace and defense companies. ENOVIA is evolving to provide usable business process components from visual product modeling to business process management. Coverage as well as program management sounds to SOA model, delivering new user experience with 3D Live to provide a visual collaboration platform. This bring me to 3D Live, which we will be introducing at our U.S. user conference next week. 3D Live is a suite of products designed to help, search, navigate and collaborate in 3D with the goal of making available to all in real-time on over of the Net. It is our first online product. 3D Live is also the first illustration of the DS online portfolio labeled Version 6, which will be supplement the wide Version 5 desktop-based application portfolio and focused on using our technologies for future online services. Now let me share the key capabilities of 3D Live. The first set of capabilities is 3D imagine, which is about bringing people process on product information into a single 3D environment so that way one in the enterprise can see the end product on their foresee and participate in the life cycle because you can imagine in 3D the end product, which is life like. You can plan effectively and federate people on one view. The second set of capabilities of 3D Live is around the ability to search and navigate in 3D very easily. It is so easy to use that we say that it brings your product IP on PLM data to live. Company’s can really reveal their IP, allow people to discover it and therefore liberates all the talents in the corporation. The subset of capabilities is about 3D chat, which is the ability to communicate and interact in a 3D context in an ADOC fashion. This includes instant messaging, buddy list sending views to each other. You can network that is identifying people you need to talk to and then share information on IDs and this is for everybody, everywhere online. In summary, 3D Live is cool, extremely easy to use and fabulous way to leverage 3D, which is itself a fantastic communication vehicle. And with our 3D Live software and we’ve made it easy for everyone included in a project across the enterprise and outside this enterprise to work together and maybe in faster decision-making, and decision and better decision-making by customers. Turning to the PLM value channel. Let me prepare my remarks by saying that our longer-term objective is not about simply a transition of an existing PLM mid market channel. It is about the transformation of how we do business in this market space by efficiently fulfilling customer requirements for PLM. Today we see a good alignment between the mid market requirement for PLM on what we bring to the market, to this market. The current status of our offerings, our new packaging and our new channel initiatives to fulfill, deliver on agreement. We begun assuming responsibilities for the PLM channel in 2005 and now progressively increased it. Today 16 countries are under our direct responsibility including most recently the U.S.A., Canada U.K. and Korea. And we are managing the rest of this channel under delegation from IBM in all other countries. Our first quarter was very encouraging. We saw solid execution in the new PLM meet market channel, we have excellent responses from partners. We all IBM business partners becoming DSY.PA in the countries we are newly managing. Some customers were responsive. We know the some sign soft that PLM potential in meet market transformed into revenuer growth. So to summaries, I want to unfold this, that our objectives about transformation of this channel to support our customer, our partner by providing them industry knowledge so they can better support our customers. Delivering products in the appropriate packaging expanding the value channel footprint on dealing partners the business model they need to grow the PLM business. We are not starting from scratch here. We are existing channel partners including IBM business partners, while becoming DSY.PA or now of current DSY.PA. The DS organization experienced in channel management on, excellent technical and industry skills. Solution, responding well to the mid- market you need requirements on the simplified packaging suited to meet market companies. Looking forward the next step of reengineering of our PLM channel include assuming responsibility for the 20 remaining countries by early 2008, continuing to grow our sales channel team including both management and sales administration. I am recording new voice to increase our coverage on industry process knowledge in the PLM mid-market opportunities. Now let me comment, on the proposed acquisition of the ICEM and I said that the outside of the core ICEM is de-recognized leader in styling on high quality surface modeling. ICEM has a large reach with over 700 customers. In 2006, it generated €20 million in revenue, all coming from industry sector. We are acquiring the company for approximately €51.4 million and expect to complete the acquisition in June, subject to closing conditions. We will give forward date guidance as start of our excellent quarter release, but let me just say that this is non-dilutive acquisition to our non-GAAP earnings. ICEM complement our DS solutions very well expanding our surface capabilities with its Class A surfacing on solutions. It has a strong presence in automotive on they are space that I have already to also bring these fantastic knowledge to many also our industry including consumer good, consumer package goods on I tech to name a few. In closing we are well positioned for our year of good growth. The demand is good and we expect these trends to continue that just not just to through 2007, but as we look further out, on our side we are better position than ever to response to these demands from customers across many industries. We have a strong portfolio of applications for PLM including ENOVIA, which we discussed in detail today. Our volume channel focused on 2D to 3D migration with SolidWorks is strong and continues to grow. Now we are adding a value channel for the PLM mid market. And finally we are advancing our goal of enabling 3D to be a popular medium or media for people over the web refers our first online product, 3D live. With that Thibault and I would be happy to answer your questions.
Operator: (Operator Instruction) Your first question comes from Mark Gale (ph) of Citigroup. Please ask your question.
Mark Gale - Citigroup: Hi good afternoon everyone and thanks for taking my question. Couple of things, couple of housekeeping to Thiboult. Thiboult if I remembered correctly in the third quarter of 2006 you had about €6 million of product development revenues in the quarter. And so, I’ve see the recurring revenue comp was a pretty tough one and yet you sort of penetrated a very strong number were there any sort of significant product development revenues in the quarter that we should be aware of?
Thibault Tersant: No Mark, in this first quarter an as predicted our development revenues where modest around €1.5 million as we have now completely -- we have successfully completed the developments for the 787 projects.
Mark Gale - Citigroup: Okay, and I think you commented in your, in the main discussion about this €2 million of IT related benefits that you offset gains expense, where exactly did you offset that?
Thibault Tersant: It was offset on the G&A.
Mark Gale - Citigroup: In G&A, okay.
Thibault Tersant: Which is where you’ll find the expenses actually stated with defending the case.
Mark Gale - Citigroup: Okay, as far as the main question that I have, obviously you’ve sort of through 2006 and sort of changed the relationship or renegotiated relationship with IBM around the mid market and channel. And obviously, there is a difference in the way the revenue splits was awarded around that. Have there been any of the changes with that’s with the main agreement with IBM. There’s been some commentary in the channels that maybe there now 70 to 30 splits between yourself and IBM, is that correct or is that speculation?
Thibault Tersant: Mark, no there was some changes in terms of the defining the territories supporting IBM, but no change under this royalty split in the renewed agreement.
Mark Gale - Citigroup: So, it’s still broadly 50-50 split.
Thibault Tersant: Yes, it is.
Mark Gale - Citigroup: Okay, and one final one if I may. Which item in the acquisition of items, obviously you’re the best with the acquisition of Abaqus has integrated some of those, sort of industry is around capability into inventory products offering, as you look that items you really going to look to integrate with Dassault product, did do you have any expectation to may be sort of the capability around SolidWorks, so to help that products in the market as well?
Thibault Tersant: The ICEM technologies significantly more advance than the one you are talking about and it’s really related to extremely sophisticated design. And than that’s why it’s core exemption of CATIA V5, there are many existing technology in Dassault Systems, which have been already used in the evolution of the SolidWorks products whole out in past years. And we will continue to do that but that there is more to do on Dassault technology done that ICEM. So the focus of ICEM is very advance, high value design capabilities.
Mark Gale - Citigroup: Okay. Thank you.
Thibault Tersant: One comment I want to do in addition to McGill sir (ph) remark. It should be understood by everyone that when we do product development contracts, its clear that the Dassault System that the product development contracts the result of it is becoming R&D inside strategy product available to everyone. On not restricted to one customer, important because that’s also way to expand the product portfolio and capabilities.
Operator: (Operator Instructions) Your next question comes from Jay Vleeschhouwer of Merrill Lynch. Please ask your question.
Jay Vleeschhouwer - Merrill Lynch: Thanks, good morning.
Bernard Charles: Good morning, Jay.
Jay Vleeschhouwer - Merrill Lynch: Hi, Bernard, I would like to ask you first about channel productivity, that you look back over the last one to two years, since you assume more responsibility for the channel. Could you described any important changes in the percentage of CATIA volume that's going through the resellers as compared to the percentage of CATIA volume that's going through the larger named account such as Boeing for whom IMB have had or retains responsibility, has the channel productivity and contribution to CATIA volume in effect gone up at all?
Bernard Charles: I will split your question Jay in two pieces. First of all the base comparison has evolved overtime. Results going to a complex diagram here, you remember that few years ago and even a few quarters ago, we were talking named account on then there were this Pink zone, Grey zone are a few account, which were basically sector oriented but result being without being a name list of fine customer and then famous (inaudible). So this was where we are creating away for us to reach the market in the sweet categories. We have changed all that, to make I, to simplify it. In short now we are I think that was comment at a previous call in the new IBM framework we've agreed to ask for whether it’s going through IBM or for certain customer direct like with (inaudible) SIMULIA on metrics one. We have a final list of NAND account on every single each channel so the comparison -- the base comparison is changing and really and we’ll continue to change up to 2008. So continuing data on this is almost impossible and however I can give you an impression about the efficiency. Its clear that the of the channel its clear that the simplification -- because its indeed a simplification with the new agreement with IBM that’s what we agreed together to do it. It’s a significant simplification to reach the market. Much more direct engagement with the porters clear planning for growth planning for knowledge transfer and skill transfer. Clear planning for business pipeline, so the visibility that we have on our business as that significantly increased we’ve got simplification. The other thing is that the efficiency that we are putting by our entire channel management system and that’s why Thibault mentioned and I mentioned into cold that its not easy a transition it’s a reengineering of it, is significant. I believe we can and we are in a good shape to make a very lean global and efficient PLM channel. For the following reason we have a very powerful business partners for PLM and they are not small companies. And they are investing in business practices, consulting and they are very, very some of them are global companies like TATA (inaudible) player and many others. So that’s the game plan right now on the dis-efficiency as a compensated by a significant way, the transitional aspect, only it’s visible on the first quarter and that’s why we wanted to communicate.
Jay Vleeschhouwer - Merrill Lynch: You referred now appropriate or simplify packaging for CATIA and start to talking about this the analyst meeting last June. What does that mean exactly when you say appropriate packaging, one of the things about the SNB channels or customers is not necessarily simplified requirements but lower resources they have available for implementations and deployment. So what is about what you’ve done with CATIA to make it easier to both sale and deploy the CATIA packages?
Bernard Charles: Thank for the question JV. This is, as you know very critical element of the PLM adoption in the mid market. First the scope of it is more than CATIA while we call it CATIA PLM EXPRESS is more than CATIA it includes PCs that can be the in obvious market environment or in certain case. We include process planning and the way it works is a following. We have becoming visible on our website where we described the offer. In short it is the following, we defines roles, industrial roles, your designer you are doing mold part, or you are doing fabricated part or you are doing styling part processes. So not only the design but also the manufacturing of it. So, we defined those roles and for those roles made by industry, we provide a solution that include all the things that you need to ask to make it efficient inside your company. We have done two, between co-two editions of those already. One edition first quarter -- forth quarter of 2006 on one edition that was ready for early this year, we are preparing the edition three and it has been working very well because it simplify the language and it simply the way we have to prepare the deployment on the customer we find never say their need to make that job. So, I see this has becoming very significant leveraging factor for not only the adoption of CATIA as you said, Jay but for you know the growth of SmarTeam for example, for the ENOVIA piece that is related to small installations. It has been real factor for the 29% growth in first quarter. When we continue to expand that add new PC’s, add then we have PCs when ever they are needed as I said on the expand of number rules for appropriate industries.
Jay Vleeschhouwer - Merrill Lynch: This its sounds like that you are going have multipurpose configurations not too similar from our PTC is begun to do recently with some of its non-pro week applications as well. So it's sound like several of you within the industry are converging toward similar types of packaging strategies.
Bernard Charles: Yes, you need the application effect to do that.
Jay Vleeschhouwer - Merrill Lynch: Couple of financial questions for Thibault. First with respect to SolidWorks, are they maintaining a well above corporate average, operating margin and the loaded ferities if not better and do you see any changes at all to their margin structure, for instance you didn’t mention that they’re doing well in Japan. They’re doing well in U.S. and in Europe and would foresee having to invest more heavily and support a SolidWorks for example to boost their business in Japan and then finally is there any particular change in terms of the interrelationship between services and software revenue, for example your services revenue were lighter than we would have thought in Q1 is that a function of the CMP payments from IBM coming down but you are now recapturing that in effect through software?
Thibault Tersant: First of all, Jay, yes, we continue to invest with SolidWorks and we believe that there is such a larger opportunity there that we need to continue to increase the capacity in channel management and within the channel as well. But the SolidWorks margins are going to continue to remain above 30% like last year in 2007 without a doubt.
Bernard Charles: We also invest if I may, Thibault, significantly in leveraging on the across the group, as I mentioned before, some of the question as you know that the collection of works has grown significantly on the customer works but also the PLM works, but also with additional technology inside the modeling itself. And when you look at the scope of function of SolidWorks to really continue to win under 3DM CAD it’s extremely competitive and I think customers on what I’ve seen this SolidWorks at the SolidWorks user event are welcoming those functions, SolidWorks 2008 is going to be a very nice set of productivity tools.
Jay Vleeschhouwer - Merrill Lynch: Okay. And then the Thibault the question about services versus software please?
Thibault Tersant: Service versus software, its very true that in the countries where we have developed our new value channel like in first quarter U.S. and Canada and U.K. and Korea, software we are visiting anymore for internal management fees from IBM which were classified in services and certainly this growth explaining the drop in that you have noted in this first quarter. And on the other side the revenue we are generating is software revenue.
Jay Vleeschhouwer - Merrill Lynch: Right, okay. Bernard, the comment about leveraging R&D across the group is that a new or incremental phenomena, does this goes back to the one company concept that you have being focusing on recently.
Bernard Charles: We have done it in the past. You know, if you look at the way things have been approached you remember special was then added to the SolidWorks scope on many users of this technology. This will increase, because we have so much technology in the group that it has to be used across the branch when it serves all the Virtools product, of the MCAD competitiveness with SolidWorks, Virtools product with CATIA of digital manufacturing or collaborative environment. And you will see this more and more including common online tools that will be shared by all branch.
Jay Vleeschhouwer - Merrill Lynch: Thank you very much.
Operator: Your next question comes from Stephen Slovensky (ph) of Associate General. Please ask you question.
Stephen Slovensky - Associate General: Yes hello. I had a couple of questions regarding the announcement on 3D Live and the new V6 Internet solutions. Is this function going to be sold as add-ons to the existing V5 installations. And if so are you incorporating any new revenues from this technology or this functionality in your guidance for this year?
Bernard Charles: Yes it’s going to be of course working on old the existing products in the group. Ultimately it will work on even our competitor’s products, whatever they are. However, if they are open enough for that. And I think we have already some plug-ins in plan to make it work on any of the user pad tools. So the answer is absolutely yes for compliment IT because it’s really different paradigm and that’s not been taken to into account and I think it will be a slow -- It will take time to deploy in large scale we have big scale project, big large employment project but will that be leverage before yearend of this year, being really executed or is it going to be more next year. It’s still unclear so we are not taking, taken this into account.
Stephen Slovensky - Associate General: Okay, but presumably when you gave your 2010 plans last summer, this is something that you had already taken into account into those numbers?
Bernard Charles: I don’t know if I can say yes or no to that. I mean, I think when we spoke about the 2010 plan that we are committing to do, and we have committed many times that we will achieve, I will say at least achieve is. All the products that are in the pipeline were not as defined as today. And so, we will see, if I say yes, it would assume that I know all the products that are coming and the way we’re going to leverage that one, I cannot say yes for that reason.
Stephen Slovensky - Associate General: Okay.
Bernard Charles: So, all the products that we don’t know exactly, how much leveraging they will provide by 2010 yet.
Stephen Slovensky - Associate General: Okay and another question regarding competition as we go down this road with more 3D tool and online tools. Do you see competition evolving and -- in one press release, I’m kind of thinking of it’s the Adobe press release, we’re now talking about the 5,000 seats for the collaborative 3D projects and whether or not that solution is complementary to what you’re offering, or whether or not that’s something that’s becoming a competing solutions for where you might be looking to go over the next couple of years.
Bernard Charles: So, I think I don’t see this as a competing solution. With software as services everything change and it’s not about -- when you have software as services even inside the company, it’s not about the data format. It’s just about what are the service available for what for what you have just created. So, I think with 3D Live you just get access immediately to everything that has been created with all the technology in formation not only the 3D views of it. For example, without going too technically, for customer its essential being in the mechanical domain to see tolerances for parts. There you never bring parts result tolerance. This cannot be without Virtools. So, I think with software as services you just massively simplified the way you ask to covert data format and I think that trend is going to be a non-stoppable trend.
Stephen Slovensky - Associate General: Okay. Just one final question along those same lines is, when we think about 3D search technology, is this something that could eventually evolve into consumer business for you?
Bernard Charles: I think on this area the -- with software as services, which really off to online services of the indicative functions are online. I believe our customers are going to use them to connect with the consumers of customers. We see that trend already with Virtools and Virtools is going to become the next platform for this life type application as of course it can be understood And then in that context once again so since that becoming so easy to provide not to companies, but to users to end users, like all of us using the web. I think this will be a leveraging factor but I don’t think we should expect that in 2007 while we are going to do some better in 2007. I don’t think it has to be integrated in the financial mobile yet.
Stephen Slovensky - Associate General: Sure. Okay. Thank you very much.
Bernard Charles: Thank you.
Operator: Your next question comes from James Dawson of Morgan Stanley. Please ask your question.
James Dawson - Morgan Stanley: Hi guys. I am sorry. Quick one actually in terms of looking at the industries. I think back at Q4, we are talking about the aerospace stock that have been very solid, but it was maybe going to be a tough share we could assume, maybe just a flat kind of aerospace market following such a robust period. I wonder if the €4 million or €5 millions in that you could kind of give us an update on that market? Are there still some significant opportunities?
Bernard Charles: If you look at the -- Hi, James. If you look at the global aerospace I will say aerospace in the France to just make it a little bit broader on why do I say that because its not necessarily civil airplane. It’s sort of a secret to anyone that in the wide geography of Asia there are lot of projects that are related to space or aerospace. I mean those topics are discussed on a country level. And clearly, as these emerging players -- I am thinking about AVEC China but I am also thinking about Korea, I am thinking about even Japan. We've the AV industry, who are been working with Boeing but that will be also working for themselves for their owned in airplanes. I see this as a sector with long-term growth. And this sector, that's a first piece of the answer, the second piece of the answer is this sector is an echo system by itself. What it means is that when new players are coming there is a real solid motivation to connect to existing credible, efficient suppliers, which by the way, which are coming themselves, supplier lot of thoughts but of really true subsistence. Look at the spirit, the Boeing spin-off in U.S.A., but these kind of things will happen is happening Asia. So in short two factors, there are a lot of alpine projects or lot of objects flying projects. And the eco system is restructuring, OEMs and they are playing the same role. They are pre manufacture all that and they are now splitting the job in different way, the 787 is a new business model really showing that where the industry is going. You know 107 service trial sites. So we want replicate this kind focus for the industry, so we believe that it’s a sustainable growth,
James Dawson - Morgan Stanley: Great. Thank you very much.
Bernard Charles: Welcome.
Operator: (Operator Instruction) You have no further questions at this time. Please go ahead.
Bernard Charles: Okay. So I would like to thank you everyone for your questions and participation to dialogue with Dassault Systemes. Of course we are always available to addressed further question. And with thank you, have a good day. And talk to you in your quarter from now or may be sooner. Buy.
Operator: That does conclude out conference for today. Thank you for participating. You may all disconnect